Operator: Good day and welcome to the Semler Scientific First Quarter 2021 Financial Results Conference Call.  Please note this event is being recorded. Before we begin, Semler Scientific would like to remind you that this conference call may contain forward-looking statements. Such statements can be identified by words such as may, will, expect, anticipate, intend, estimate or words with similar meaning and such statements involve a number of risks and uncertainties that could cause Semler Scientific’s actual results to differ materially from those discussed here. These risks include continued uncertainty due to the evolving COVID-19 pandemic, risks associated with Semler Scientific’s recent investments and entities with potential complementary products and new distribution arrangements along with other risks associated with Semler Scientific’s business. Please note that these forward-looking statements reflect Semler Scientific’s opinion only as of the date of this presentation, and it undertakes no obligation to revise or publicly release the result of any revision to these forward-looking statements in light of new information or future events. Please refer to Semler Scientific’s SEC filings for a more detailed description of the risk factors that may affect Semler Scientific’s results in these forward-looking statements.
Doug Murphy-Chutorian: Good afternoon, everybody, and thank you for joining us today for our first quarter results call. I would like to introduce you to Dennis Rosenberg, our Chief Marketing Officer, who will begin the call for us today. Dennis?
Dennis Rosenberg: Thanks, Doug. We always like to begin our calls with a reminder about Semler’s strategy. Semler is a company that provides technology solutions to improve the clinical effectiveness and efficiency of healthcare providers. Our mission is to develop, manufacture and market innovative products that assist our customers in evaluating and treating chronic diseases. We believe that our technology and software solutions enable our customers to identify when preventive care, are appropriate and to intervene before events like heart attacks and strokes occur. We are pleased to report that the company’s financial performance during the first quarter of 2021 based on revenue and pre-tax net income was the best quarter in our company’s history. Comparing results from the first quarter of 2021 to the first quarter of 2020, the highlights of today’s report are as follows: revenues were higher by 40%, increasing to $13.2 million. Pre-tax net income was higher by 74%, increasing to $6 million. Net income was higher by 82%, increasing to $4.9 million. Cash increased to $26.5 million at quarter end. During the quarter, we saw increased orders and usage for our QuantaFlo product from our current insurance company customers and from our health risk assessment customers. We also received orders from new customers. Now Andy Weinstein, our Senior Vice President of Finance and Accounting, will describe our financial performance in more detail. Andy?
Andy Weinstein: Thanks, Dennis. Please refer to the financial results described in the press release that was distributed at market close today. For the quarter ended March 31, 2021 compared to the corresponding period of 2020, revenues were $13.2 million, an increase of $3.8 million or 40% from $9.4 million. Operating expenses, which includes cost of revenue, was $7.2 million, an increase of $1.2 million or 20% from $6 million. Our pre-tax net income was $6 million, which was an increase of $2.6 million or 74% compared to $3.5 million. Net income was $4.9 million, an increase of $2.2 million or 82% from $2.7 million. Net income per share was $0.73 per basic share and $0.60 per diluted share, which compares to $0.41 per basic share and $0.33 per diluted share during the same period last year. For the quarter ended March 31, 2021, basic share count was 6,707,990 and diluted share count was 8,169,375.
Dennis Rosenberg: At the end of first quarter 2021, head count was 103 employees compared to 86 at the end of fourth quarter 2020. We continue to operate as close to normal as possible, notwithstanding the COVID-19 pandemic. We have been a virtual company for more than 10 years, and we’re comfortable with communicating and working out of our homes. Also, we have web-based training in place for our customers and are experienced in using it. There is also no plan to raise additional capital at this time. We reserve the right to change our financing plans as opportunity or need arises. During Q1 2021, we continued our Investors Relations activities by participating in a virtual investor conference hosted by H.C. Wainwright. During 2021, we will continue to participate in virtual conferences and virtual non-deal roadshows. We do not yet have a firm point in time when we plan to uplist to the NASDAQ market. However, we are working with a consulting firm which is advising us on the NASDAQ listing process. Our R&D goals are to continue to upgrade the existing product and data services to commercialize other internally developed services and products and to in-license new services and products which provide enhanced value to our customers.
Operator:  Our first question will come from Kyle Bauser with Colliers Securities. Please go ahead.
Kyle Bauser: Great. Thanks for all the update today. Congrats on the phenomenal quarter here. So, you mentioned purchasing $2 million product inventory. I think you have previously purchased $1.2 million of inventory. Is this the same product? And are you able to talk about if this is a diagnostic or a therapeutic yet?
Doug Murphy-Chutorian: Kyle, it’s a different product. This first one was in 2020, and the second one was another company that we invested in, in 2020, but we have signed a distribution agreement in 2021.
Kyle Bauser: Okay, got it. And I know you don’t want to get into the details of these products until they become material, what does material mean? I mean $2 million of product inventory, even if it was a 50% gross margin, $4 million in sales potentially, which is almost 10% of the last 12 months of sales. I am just kind of curious when we might learn a little bit more about those products.
Doug Murphy-Chutorian: We don’t have a date, but we think that is going to be sooner than later. So, I don’t have the time period to get to you. It depends on how the companies do in the marketplace.
Kyle Bauser: Got it. We look forward to those updates. And then I think back of the envelope math, sales to your largest customer came down about $700,000 sequentially. Admittedly, Q4 was an outsized quarter, so maybe that’s the reason. But – and then at the same time, we saw an increase in the variable use bucket of about $900,000. So, is that a function of your largest payer client choosing to outsource QuantaFlo to an HRA or is the decline just a function of COVID disruption or pulling devices from practices that aren’t utilizing QuantaFlo, just trying to understand the cadence here?
Doug Murphy-Chutorian: I will ask Dennis answer the second part of the question. The first part is the largest customer is indeed using an outside person at the same time. And Dennis?
Dennis Rosenberg: Yes, we don’t see systems being pulled from offices and clinics. That’s not going on. But there is a mix of how the customers are reaching the patients they want to test. And as you know and we talked about, we offer our customers a good deal of flexibility in this ability to test them either in the home or with the fixed fee systems. So, we think that’s a benefit to them and, as I say, it gives them flexibility on how they get to the people that they need to test.
Kyle Bauser: Okay. Got it. I appreciate it. And then just lastly, given the mix shift from fixed fee to per use, I think, typically, you were seeing an increase in gross margin when that happens, but gross margin came down a little bit. Has pricing changed for the device on a per-use basis?
Doug Murphy-Chutorian: As I said earlier, it’s – we are – we treat our customers a little better, but we always have maintained that we don’t talk about the prices.
Kyle Bauser: Okay. Got it. I will jump back in queue. Thanks for all the update.
Doug Murphy-Chutorian: Thank you.
Operator: Our next question will come from Brooks O’Neil with Lake Street Capital Markets. Please go ahead.
Brooks O’Neil: Thank you. Good afternoon guys. I want to humbly apologize for once again doing a terrible job of forecasting your results. You guys crushed my estimate again. And I am trying my best, but I can’t keep up.
Doug Murphy-Chutorian: Thanks for that data work. That’s very encouraging.
Brooks O’Neil: Right. Keep it up, Doug. Keep it up. That’s all I got to say. Alright. So first question I have is following on with Kyle, thinking about the mix shift and whatnot, but maybe on a broader level, do you think Q1 performance benefited from kind of pent-up demand or some kind of a backlog that might have developed because of COVID or do you think this is a continuing natural growth of your business?
Doug Murphy-Chutorian: Dennis, can you take that one?
Dennis Rosenberg: Yes. I think that it’s hard to know for sure. But the way, as we have discussed, the system is financed, there is not a big issue of backlog from year-to-year. So, I think its natural growth. And I think that the ability of the large insurance company customers to be proactive in going after the people they need to test through the home testing gives them a lot of positive momentum in having these 2 different ways that they can make sure everybody gets covered. So, I am not sure backlog is really a big issue or was an issue in the first quarter.
Andy Weinstein: Yes. This is Andy. I agree with Dennis. I don’t think backlog was a big issue in the first quarter.
Brooks O’Neil: Great. That’s perfect. So second question and I am going to ask you a theoretical question, I know it’s maybe not super-comfortable to answer, but it’s not specifically related to the projects you are working on in the new product area. But can you envision new products or services from Semler to have business dynamics that are similar to the business dynamics of your core business today? I mean what I am speaking about obviously is, we talked a little bit about going through the same kind of distribution channel. But more importantly, I think from investors’ perspective, the extraordinary profitability of your base business, the scalability of it, etcetera, can you see other products having those kinds of characteristics as you think about the future of Semler?
Doug Murphy-Chutorian: We hope so. Dennis, can you answer?
Dennis Rosenberg: I think there is no question that that is what we have our eyes set on. Whether that comes to fruition, we will have to see. But as you stated, the distribution leverage and really bringing the level of benefit that we think QuantaFlo brings to the customers and kind of transplanting that type of high-level benefit to other products is feasible, although we certainly can’t guarantee that that’s how it’s going to turn out. That’s certainly what we are marching towards.
Brooks O’Neil: Great, Dennis. That’s – I expected that, but I am glad to hear you say that. So, last question for me. Obviously, the cash is beginning to pile up on the balance sheet. You have taken a number of steps in the direction of adding some other products, but can you give us a high-level view of kind of how you view the best uses of cash from the perspective of growing and improving the performance of the company going forward?
Doug Murphy-Chutorian: We intend to invest in new products, R&D and salespeople to get this thing off of the ground. These products – these new products are very exciting to us, but everything it takes is cash, I would say – that being said, we don’t think about doing any share buybacks or any dividends per se, but that may change in the future. So, I can’t predict yet. But right now, we are trying to concentrate in R&D, building the core businesses and to achieve the maximum results.
Brooks O’Neil: Okay. Congratulations on another terrific quarter.
Doug Murphy-Chutorian: Thank you.
Operator: Our next question will come from Marc Wiesenberger with B. Riley Securities. Please go ahead.
Marc Wiesenberger: Thank you. Good afternoon. I appreciate taking my questions. Since you have the capability to see activity for both your variable fee as well as your fixed fee customers, I am wondering if you could talk about the utilization across the fixed fee customer base. And is there anything that you are seeing there that might foreshadow additional rollouts in the near-term?
Doug Murphy-Chutorian: Well, we intended to get to a position where we are called the standard of care. Some people do consider us as standard of care already. But Dennis, can you illuminate this question?
Dennis Rosenberg: Yes. I mean there is certainly variability in usage patterns. What we tend to see over time is growing usage the longer systems are in place typically. And as we mentioned in the call, we are seeing continued growth in current customers’ fixed fee, in new customers’ fixed fee and in fee per test. So, we are seeing growth in all of those areas. And as I kind of said earlier, the flexibility that this offers our customers, the ability to be testing either in the office or at home is a powerful piece of our business. So, we are very positive on both of those segments of our business.
Marc Wiesenberger: Sure. Understood. From your point of view, can you talk about the progress the HRA providers have made through their patient list thus far and how that relates to prior years?
Doug Murphy-Chutorian: Well, this patient list, they get at the beginning of the year and – the calendar year. And they feel pressure to get it done or get more patients added to the list as they go out throughout the year. So usually, the first quarter is a worst quarter. But now, look at the quarter, it was fantastic. So we’re really encouraged by the growth in this area.
Marc Wiesenberger: Sure. QuantaFlo is primarily used in the general practitioner setting as well as the home setting. Are there any other major kind of locations or venues that you could see being appropriate for QuantaFlo in the future?
Doug Murphy-Chutorian: Dennis, can you answer this?
Dennis Rosenberg: Yes. Well, those are the key settings now. We also have systems in some specialists’ locations as well, hospitals and elsewhere. But I think it is feasible in the future to see wider spread placements of PAD testing in other locations as well. We’ll have to see how that comes to fruition as part of the growing standard of care and recognition of early PAD diagnosis and PAD testing. As that becomes more and more widespread, I think there is opportunity for doing testing in other locations as well. We also see things like health fairs, health buses and these types of scenarios also. They don’t play a major role at this point, but there are other opportunities out there.
Marc Wiesenberger: Great. And then one final one for me, can you talk about the cadence of the $2 million inventory purchase that we should expect and then maybe the margin profile a little bit more of the product? Thank you.
Doug Murphy-Chutorian: We generally don’t talk about prices, as you know. So I think we have a feeling that there’s going to be excellent margin for us, but we wait to see. A part of the reason we don’t talk about it was that we haven’t fully decided yet how to price it or how to sell it at the start of a new contract. But we’ll get to that decision soon and test the market. In general, we’re going to have a larger market, and we test the segment of it to make sure it is going to work for us. Dennis, can you give your comment as well?
Dennis Rosenberg: Yes. I think the key point there is the fact that we’re looking carefully at segments of the markets to understand all of these issues, pricing, margins, etcetera, and which of the segments make the most sense to approach in different timing. So all of these factors, as we decide them, are going to impact margins and pricing.
Marc Wiesenberger: Sure. And – but just to the cadence point, should we expect that $2 million purchase one lump sum? Would that be spread out through the year or maybe more back half versus first half? Anything on that would be helpful. Thank you.
Doug Murphy-Chutorian: So I think that we’re going to try it. Maybe we don’t want to give guidance on at this point. We were talking to some big customers. One of them comes in, changes the whole game. But in general, building a market is a step-by-step process. So you are going to anticipate we’re going to do – try to do all the right things and try to correct all the mistakes that we make in the – quickly and to maintain the cadence of the bucket.
Marc Wiesenberger: Great. Appreciate your answers and congrats on a great quarter. Thank you.
Doug Murphy-Chutorian: Thank you.
Dennis Rosenberg: Thank you.
Operator: Our next question is a follow-up from Brooks O’Neil with Lake Street Capital Markets. Please go ahead.
Brooks O’Neil: Thank you very much. I think this is a little bit of a tag-on to a question Kyle was asking earlier, but I just want to try to be sure I understand. It looks like customer number two that you have maybe grew dramatically in Q1, but customer – your largest customer didn’t grow quite as quickly in Q1. And I’m curious if, a, you have changed growth expectations for this top customer going forward or was this a little bit of an anomaly or any comments would be extremely helpful?
Doug Murphy-Chutorian: I will take the first question this is doing a lot of work. And also, they are acquiring different companies. Andy, can you give some color to this question?
Andy Weinstein: Yes. I don’t think there’s a change much in the cadence, and the first customer is not decreasing or canceling. The first customer is also on a growth pattern as well.
Brooks O’Neil: Great. And then Andy, do you think there’s plenty of room to grow for the biggest customer, right?
Doug Murphy-Chutorian: I’m sorry, this wasn’t covered. You sounded lightly to me. So can you ask the question again?
Brooks O’Neil: Sorry, Doug. Do you still believe that customer number one has significant long-term growth potential, if I am thinking about it properly. But I just wanted your comment on sort of the overall outlook if you could give it to us.
Doug Murphy-Chutorian: Absolutely. The large customer has got, as far as we’re concerned, a lot of legs under it and going to be fantastic in the future. But we’re going to have – all the customers are that we have are established, customers are ordering more. And also, they may be doing, like I said, other tests to cover their vacs because they have to get the patients tested every year. Post-COVID, they’re worrying about how many tests they’re doing. So they’re getting them done and, well, going to the HRAs sooner than ever, I think. So I think it’s going to be a favorable situation, but I don’t – as Andy said, I don’t see any large customers doing less work.
Andy Weinstein: Yes. Look, you asked about adjusting our expectations down, and we’re not adjusting our expectations down. We don’t feel – we feel our original projections are accurate.
Brooks O’Neil: Yes. Well, that makes sense. So let me just ask you one more. And I’m not trying to set you guys up, but it’s my understanding that there are something like 500 conditions that CMS has identified for which they might consider paying Medicare Advantage health plans incremental premiums if covered members were demonstrated to have those conditions. Is that – am I reasonably close to the ballpark in that? And if I am, do you – I mean would you concur with me that there’s a virtually unlimited opportunity for Semler going forward?
Doug Murphy-Chutorian: I conclude that you are right, there are maybe 500 different indication or diagnoses that are going to the HCC codes. And of course, we think that all the customers of – particularly the large ones have ability to use more than one of our products. Dennis, can you explain?
Dennis Rosenberg: Doug, I think that you’re definitely on the right track in terms of that, something that we are certainly focused on that as well in looking at those opportunities. As far as unlimited opportunity, it would seem with those kinds of numbers that it might be a lifetime’s work of opportunity. Not all of them are going to pan out in the same way, but there are quite a few possibilities.
Brooks O’Neil: That’s great. Dennis, Doug, Andy, thank you very much for taking my questions.
Dennis Rosenberg: Thanks, Brooks.
Doug Murphy-Chutorian: Thanks, Brooks.
Andy Weinstein: Thanks, Brooks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dennis Rosenberg for any closing remarks.
Dennis Rosenberg: Thank you all for joining us today, and we look forward to updating you soon on our continued progress. And that ends our call for today.
Doug Murphy-Chutorian: Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.